Operator: Good day ladies and gentlemen and welcome to Fortinet Second Quarter 2011 Earnings Announcement. (Operator Instructions) I would now like to turn the conference over to Mr. Ken Goldman, Chief Financial Officer. Sir, you may begin.
Kenneth Goldman: Good afternoon and thank you for joining us in this conference call to discuss Fortinet’s financial and operating results for second quarter 2011. Joining me today are Ken Xie, Founder President and CEO of Fortinet and Michelle Spolver, Vice President of Corporate Communications. In terms of structure of the call I will begin with a view of our operating results before I turn the call over to Ken to provide additional perspective of performance of our business. I will then conclude with some thoughts for the third quarter and full year 2011, before we open up for your questions. As reminded today we are holding two calls, following this call we will hold a second conference call to provide an opportunity for financial analysts to ask more detailed financial questions and second call will begin at 03:30 Pacific Time and will also be a webcast from our investor relations website and is accessible as detailed in the earnings release. Before I begin let me read a disclaimer Safe Harbor statement. Please note that some of the comments made today are forward-looking statements, including those regarding our financial guidance for the third quarter and full year, our expectation regarding continuous sales momentum in the retail vertical including potential customer wins, expected business and growth in certain regions, increased sales resulting from investments in our sales organization, future product launches, traction for sales of new products, the pace at which we hire new employees, the impact of currency exchange rates, the momentum of our business in the global UTM market, ability to gain market share, expected growth in our service revenues and the impact of new FAS revenue recognition rules. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those projected in the forward-looking statements. Please refer to our SEC filings, in particular the risk factors described in a Form 10-K and 10-Q for more information on these risks and uncertainties. Again limitation apply to forward-looking statements. Copies of these documents (ph) can be obtained from SEC or by visiting investment relations section of our website. All forward-looking statements reflect our opinions only on the day of this presentation and we undertake no obligation and specifically disclaim any obligation to revise or publicly release results of any revision of these forward-looking statements in light of new information or future events. Please note that we will be discussing certain non-GAAP financial measures on this call. Our GAAP results and GAAP to non-GAAP reconciliations can be found on our earnings press release and slides 14 and 15 of the presentation that accompany the prepared (ph) remarks. You can also refer to our website at www.investor.fortinet.com for important information including earnings press release issued a few minutes ago and slides that accompany today’s prepared remarks. Replay of this call will also be available on the website. Note that we routinely post important information on our investor relations website and I encourage you to make use of that resource. Okay. So, let me now talk about second quarter. It was a solid quarter where strong financial metrics have been consistent with or above the high end of our previously provided guidance. We saw strong revenue growth, strong profits, continued very strong free cash flow generation. We witnessed momentum in deal flow. Let me talk about key numbers and you could see those on slide three. Billings were $110 million which was an increase of 22% year-over-year. Revenues were $103 million up 35% year-over-year. Non GAAP operating income at $22 million was up 84% year-over-year. Non-GAAP margin was 22% which was up 6% year-over-year. Non-GAAP EPF $0.09, free cash flow was $33 million up about a 100% year-over-year. Revenues were strong driven by growth in the Americas and APAC at 40% and 44% respectively. The EMEA revenue growth was also solid at 24%. We continue to see robust demand for UTM and high performance network security solutions in the enterprise driven by network security consolidation and network upgrades. Recent product introduction continue to reinforce our competitive edge and drive market share gains. Finally, let we talk about a few things to point out before I delve further into the financials. The Q2 guidance we issued last quarter include the impact of the adoption of new revenue recognition rules. As a result, revenue increased approximately $5.7 million. Certain product revenue which can now be recognized upon shipment in both China and the US would not have been recognized under previous revenue recognition rules. Additionally, we believe that had the previous revenue recognition rules remained in effect the impact would have been less as we have also changed certain business practices to better merit changes to the revenue recognition rules. That was -- again remind you that our guidance included the impact of these new rules. We achieved two to one stock split which is effective June 1st and we held our annual shareholders meeting last month where among other things shareholders approved an employee stock purchase plan. In terms of profitability it was above expectations at our business model. We maintained our profitability while continuing to ramp up our hiring efforts, investments in sales, support and R&D to meet the strong demand we are seeing. Our non-GAAP operating margin of 22% was above our guidance range and above the 16% reported during the same period last year. In terms of free cash flow, we achieved $33.3 million, up nearly a 100% year-over-year well exceeding our guidance of around $25 million plus. Cash generation continues to reflect trends in our collections, profitability and working capital management. Our strong result this quarter continues to be driven by leverage we are getting in our investments in R&D and the execution of our global sales strategy. We saw especially strong growth in Americas and APAC, with healthy deal volumes from enterprise across all of our verticals. Let me highlight a few that were particularly strong. In retail, in the Americas we had several notable retail wins, mainly driven by sales of recently introduced products such as our FortiAP-220B, FortiGate 80 and 60CM UTM appliances. These distributed enterprise deployments included securing hundreds of thousands of branch retail outlets, connecting back to larger corporate locations and were driven by the requirements of PCI compliance, secure wireless access and mobile point of sale applications, and the overall UTM functionality for broad security and ease of use management. A few of these wins included a larger power and retail company with more than a thousand retail stores in over 90 countries in which we competed against CISCO, a nationwide specialty consumer products retailer which we competed against CISCO and Juniper; a leading footwear retailer, with over 300 stores in US again CISCO and Juniper; a sporting goods retailer with more than 800 stores in the US where we compete against CISCO and SonicWall. We expect retail vertical sales momentum to continue in Q3. In fact during the second quarter we began a proof of concept to secure thousands of locations of one of the largest retail store chains in the US. While no revenue was recognized in Q2, this could potentially lead to significant revenue in future quarters pending success of the overall network wide deployment project which includes a multitude of other non-security vendors. In terms of financial services continue to traction driven by dedicated sales effort in the financial services vertical. One key enterprise win of financial services this quarter was with an existing customer who was one of the world’s largest stock exchanges. They are using numerous high-end FortiGate appliances for high speed, low-latency, firewall intrusion protection in their data center to protect their corporate data and internet facing portals. We won this deal against Cisco and Check Point. In terms of service provider, the business remained strong this quarter with notable new and existing customer wins in Europe and Asia PAC. We continue to demonstrate unmatched performance, 10 gigabit connectivity and virtualization features continue to be a competitive advantage for us in this sector. In terms of state and local government, we saw a nice rush in the US State of government sector during Q2 which was driven by a combination of fiscal year end spending and productivity improvements from our sales team. We saw a healthy growth in both new and recurring customers with a few notable wins including existing state agency customer who is using our high-end FortiGate appliances to deliver security as a service to nearly a 100 other local government agencies. The state education system, which was seeking a single unified platform to secure and filter web content for all state and cater to all schools has selected Fortinet over Cisco. We are particularly pleased given the – obviously the well publicized state and local budget issues in the U.S. Let me now go through some of the details of second quarter. In terms of income statement, billings were $110.2 million, an increase of $19.9 million or 22% compared to same period last year and consistent with our guidance. In terms of geographic breakdown of the billings growth Americas was at 32%, EMEA 2% and APAC 41% compared to Q2 2010. While Americas and APAC had very strong quarters, softness in EMEA from a macro perspective as well as timing of some of our large transactions resulted in lower billings growth for this region in this quarter. However, pipelines remain strong and we do expect to resume good growth in EMEA during Q3 and the balance of the second half. In terms of product segmentation, on slide four, billings of high end products accounted for 34% of product billings compared to 35% in Q2 last year and 37% in Q1 driven by strengthening enterprise segment in Americas. Basically product mix remains comparable year-over-year and new product introductions across our suite of products in the second half of the year will enable us to further take advantage of market opportunity across the high and mid-range and entry level segments. In terms of deal size breakdown, these metrics do vary from quarter to quarter, but number of deals over a 100K for the second quarter was 127 that compares to 111 in 1Q. Number of deals over 250 was 37% that compares to a 34% in the first quarter. The number of deals over 500 for the second quarter was 11 compared to 18 in the first quarter. Overall, we saw a healthy growth in our large deals for the quarter although the number of 500K deals was a bit lower in Q2 than previous quarters, several of these deals were greater than $1 million. In terms of billings by key vertical. When you start to break out approximate billings by top five verticals, service provider, financial services, healthcare, retail and government, these remain our best estimates given we sell through the channel and don’t always have the exact detail of our end customers. So, for the first half of this year, getting us to first half, billings per vertical were approximately 25% to 30% for service provider, 15% for government, 10% financial services, 10% retail, and 5% to 10% for healthcare. Total revenue was a $103 million in the second quarter, was up 35% year-over-year. As I mentioned, our investments in our sales organization on a global basis was driving key wins across all verticals and geographies. We recently announced products such as FortiGate 3040B, FortiGate 3140B and FortiGate 5001B high end UTM products, as well as our FortiAP WiFi appliances continue to gain traction with broad based deployments across large enterprises. You can see a geographic split of revenues on slides five and six. This diversification remains one of the underlying strength of our business and in Q2 historic performance out of APAC and America especially enabled us to exceed our revenue targets. In terms of the geographic split of revenue, and again we use the bill to address for this, Americas was $40.5 million, up 28.9 compared to prior year increasing 40% year-over-year, very strong performance across the Americas region driven by a healthy business environment as well as traction with enterprises and key verticals. On enterprise (inaudible) six figure deal we won over the Fortune 50 company who choose Fortinet for the global firewall standard. We competed for this against Cisco, Juniper, Checkpoint and Palo Alto based on the superior network security intelligence, multi gigabit performance and robust centralized management provided by our high-end FortiGate, FortiManager and FortiAnalyzer appliances. We saw again a continued strength in Latin America as well as good solid performance in Canada. In terms of EMEA, we achieved $36.6 million compared to $29.5 million prior year representing a year-over-year increase of 24%. We remain focused on growing our business in Europe and have made several key hirings over the past quarter to help enable this growth. We continue to secure broad based deployments for large enterprises, especially large service providers in the region. For example, we won a seven figure deal with one of the world’s leading documentations and information technology service providers. Fortinet was chosen as the de facto standard next generation firewall to consolidate and replace numerous multi-vendor firewall products throughout these telcos vast infrastructure in an effort to reduce complexity and cost. In a rigorous testing and evaluation process we demonstrated we could best meet the carried weight of network security, performance and virtualization requirements of this telcos. We competed against Juniper and Checkpoint. In terms of Asia PAC, revenues were $25.8 million versus $18 million in the prior year increasing 44% year-over-year. We reported very strong growth as you can see in the APAC, particularly in Southeast Asia, Korea, Taiwan and India. In addition, Japan bounced back nicely from Q1 levels. One stand out deal in this region was a win in India with a government division that provides IT solutions and communication infrastructure to all local government organizations. Numerous Fortinet high-end and midrange FortiGate appliances were purchases by this UTM deployment. We won this based on the performance and breadth of our functionality of our FortiGate UTM solution. We also won a seven figure deal with a leading managed service provider in Southeast Asia, who was using Fortinet solutions as a basis for large cloud based mass security service offering. This was the second phase of an existing roll out. So now that we are into product revenues, $46.7 million, up 50% year-over-year, and you can see this on slide seven. Product revenues remain an important leading indicator and the strength should lead to growth in our services business over the next few quarters. In Q2, original (ph) mix of our billings were product related, largely because we sold fewer longer term bundles resulting in greater upfront product revenue. This metric may move around a bit more due to new revenue recognition rules and as a result product revenue has increased volatility due somewhat to the overall mix of billing this quarter. Growth in large enterprise deals in Americas shows strong demand for enterprise products, such as a FortiGate-3040B UTM appliance for large enterprises and our high end chassis-based FortiGate 5001B UTM blades, which usually get deployed in telcos service provider environments. Other new products such as a FortiGate 3140B multi gigabit UTM, 48P 32B WiFi UTM appliances also were favorably received by customers and contributed to wins during the quarter. Strong new product portfolio launched (inaudible) a number of important product launches expected late this quarter as well as Q4 which Ken will discuss in more detail. Service revenues were $52.7million up 29% compared to $41.0 million a year ago. In terms of renewal rates, renewals remain in the mid to high 30% (ph) range comparable to the peak we had seen over the past two quarters and frankly these rates are pretty optimal considering that many customers will upgrade or re-architect the Fortinet environment every few years which again we consider new sale versus renewal. Ratable revenues at $3.7 million decreased 15% consistent with the new revenue recognition rules. In terms of revenue quality DSLs was 63 days compared to 71 the prior year, slightly better than our target range. Excellent AR rating and credit quality. Deferred revenue balance placed at $273 million, up $48 million or 21% year-over-year, and $7 million or 3% versus the first quarter. Turning to headcount, slide eight, you’ll see that we ended 2Q with 1475 employees compared to 1389 1Q of this year, and 1336 in 4Q of last year. Again, this reflects a positive view of the growth outlook for our business. So in the last quarter we ramped up hiring in sales and R&D when net headcount increased 6% on a sequential basis following a 4% quarter to quarter increase last quarter. This does include 35 employees added as a result of our acquisition of TalkSwitch assets. Growing headcount on a global basis with approximately 77% of our employees located outside of the US, having a globally diversified business continues to provide us balance in a lower cost structure. Approximately sales and marketing and R&D accounted for approximately 130 each for sales. The sales headcount well balanced across the three major (inaudible). Service and support approximate 22%, G&A at 8% and operations at 2%. In terms of revenue per employee it continue to increase. We actually achieved $288,000 in the second quarter which was up a full 20% from $241,000 in the year ago second quarter. The group billing increased by 22% and revenue by 35% compared to a 15% increase in employee headcount. In terms of some of the income statement and cost ratios, non-GAAP gross margin was 75% in Q2, a slight increase from 74% in the second quarter of last year and consistent with last quarter. Non-GAAP product mentioned was 65% compared to 62% in Q2 of last year. Non GAAP services gross margin was 84% versus comparable, and we do expect non-GAAP gross margin to remain within the circuit range. Total non-GAAP operating expenses were $54.7 million up 23%, a $10.3 million year to year compared to revenue increase of 35%. This increase was primarily driven by headcount additions, FX had an impact of approximately $2 million primarily due to exchange rates in Canada and Europe. Non-GAAP operating expenses were up 9% and sequentially driven by increased headcount and foreign exchange, FX was about $1 million. As a percent of revenues total non-GAAP operating expenses during Q2 were 53% compared to 58% in the same period last year, and 54% during the first quarter of 2011. Non-GAAP R&D increased 24% to $15 million represented by 15% of revenues. Sales and marketing increased 27% year-over-year to $34.2 million and represented by 33% (ph) of revenue estimated 35 last year. Non-GAAP G&A increased modestly to $5.5 million and is now 5% of revenues compared to 7% in the prior year. In terms of non-GAAP operating income, it was $22.2 million, represented a non-GAAP operating margin of 22% as compared to $12 million at 16% operating margin last year and 21% operating margin in the first quarter. This represents a growth of 84% year-over-year and 11% in quarter to quarter. We thus continue to show tremendous leverage in our operating income year-over-year. Other income increased $0.2 million, pro forma tax rate for the quarter was – for non-GAAP results was 23%, non GAAP net income was $15.3 million in Q2 compared to $8.1 million in the second quarter of 2010, an increase of 88% year-over-year. Non-GAAP diluted earnings per share were $0.09 especially after two to one stocks which we completed in June, and this compares to a split adjusted $0.05 for second quarter of 2010. Diluted shares outstanding were a $164 million compared to a $151 million in prior year. The increase mainly reflects the exercise of stock options and somewhat the higher market value for the stock. As I mentioned there is a full reconciliation of our non-GAAP and GAAP results in our earnings press release in the slides 14 and 15 of the presentation and company’s prepared remarks. In terms of our GAAP results, GAAP net income was $14.5 million, compared to $6.9 million in the second quarter of 2010. GAAP tax expense was 25% pretax income and GAAP diluted earnings per share was the same and $0.09 compared to $0.05 the prior year. Let me now turn to the balance sheet, and you can see these on slides 10, 11, and 12. Just a few comments on these. Cash and equivalents made in the quarter $468.5 million in cash, cash equivalents and short and long term investments. Approximate $2.86 for a fully diluted share. This represents a $35.8 million increase in Q1 primarily driven by cash generated from operations in addition to the exercise of stock options during the quarter. Cash generated from operation was $34.1 million representing a 21st consecutive quarter generating cash from operations inclusive of one-time items. Free cash flow was $33.3 million, again as I said before, up about 100% versus Q2 of last year. In terms of net AR, net AR was up modestly, little less than $1 million to $72.2 million. Received strong collections for the quarter of $105.6 million, DSLs were 63 days versus 69 in Q1 and 71 in Q2 of last year driven by strong inflections recorded and again demonstrating the high quality of the revenue. Inventory increased by $1.5 million to $13.7 million, increase in inventory was due to effectively ensuring adequate inventory to support shipments of new product introductions expected in second half, and the addition of TalkSwitch inventory. Our net inventory returns were 4.0 in this quarter compared to 4.0 in Q1 and 3.3 which (inaudible) last year. In terms of our deferred revenue balance, increased to $273.2 million, which is up 21% year-over-year and 3% sequentially. Short term deferred revenues increased to $192.5 million, up 25% year-over-year. Long term deferred revenues increased to $80.7 million up 13% year-over-year. I would note that though this quarter were more driven by annual deals as opposed to (inaudible) on those and with the new FASB rules (inaudible) revenue is no longer being deferred for five years. So, let me summarize. We saw strong operating results this quarter, driven by a combination of healthy growth in the UTM market as well as solid execution and market share games. We experienced impressive growth in Americas again this quarter as well as good growth in APAC. We are confident in our position for the remainder of the year as well as continue to execute on our longer term goals. We have a solid pipeline and exciting product launch expected for the second half of this year. I would now turn the call over to Ken Xie.
Ken Xie: Thank you, and thank you everyone for joining us on this call. As Ken Goldman noted Fortinet had a strong second quarter reporting finance results that meet and exceed all our target. The UTM Threat Management, the Unified Threat Management market remain one of our strong and growing, and at the price of all size increasingly consolidate their security to reduce complexity and cost, and a service provider realize the flexibility to enable delivery of the priority of a managed security services. Fortinet continues to stress in authorization in a UTM market and extend our lead over competitors. As you see in the most recent security appliance tracker show Fortinet hold its leadership of the worldwide UTM market for the 21st consecutive quarter and continue to gain market shares. Additionally, Frost & Sullivan recently awarded Fortinet with its 2011 North American market leadership award for the UTM. Attributing to our leadership in our strong UTM product and our ability to enhance the value and meet consumer requirement. Now, over (inaudible) for the employee in the engineering related growth, we are taking innovation, security and quality very seriously. So we are proud of the product we produce and like some many other security vendor who just talk about having the most secure product and hype them through heavy marketing, we believe the true validation come from the customer endorsement and also the third party certifications. Many of our sales wins come from referrals by customer and the partner who use our product and we believe no other security vendor has as many certifications as Fortinet has today. So, we are the only UTM vendor to endure rigorous testing to earn certifications across our whole security functions and the technologies UTM offers. For example, Fortinet firewall functions is certified by ICSA lab, FIPS and Common Criteria EAL 4+, which is the highest level governing firewall certification today. Additionally, it also earned IPv6 ready status and a NEBS Level 3 certified on the FortiGate 5000, which has the industry’s best performance of around 500 gig firewall support. Fortinet IPS solution is certified by ICSA Lab and also is IPv6 ready. And, our Fortinet antivirus technology is certified by ICSA lab VP100 and we are the first and only UTM vendor in the space to be certified for Nava (ph) based high speed antivirus functions. These independent certifications demonstrate our ability to consolidate multiple security technology into single device (inaudible) while still maintaining highest standard of a performance, security and accuracy. Specifically in Q2 Fortinet has earned and maintained the following certifications. ICSA certification for antivirus, corporate firewall, Nava (ph) intrusion prevention, SSL VPN and the WAP application firewall. Fortinet also earned 11th virus bulletin VBSpam award for the highest spam catch rate, its sixth consecutive VB 100 award for the best in class antimalware capabilities. Additionally, FortiGate system achieved IPv6 Phase 2 Readiness Certification which provides a confidence in environment around IPv6 networks or IPv4 network being transitioned into the new protocol. And finally, as a testament to the design, development and manufacture and delivery of Fortinet product, service and process, we also achieved ISO 9001 2011 certification for high standard of the quality and management. Coming from engineering background myself I am all excited to see the impact of Fortinet innovation of finest result. In Q2, a number of key deals were included recently introduced product. For example, several large distributed enterprise deal in the U.S. retail sector include sales of FortiGate 80CM and 60CM. Integrated wireless broad band UTM appliance as well as the recently introduced FortiGate AP wireless controller product. One of such deal was with a U.S nationwide retailer who purchased more than 600 FortiAP 20B and FortiGate 80C appliance to secure each of the current and future store as well as to complying with the PCI regulations. (Inaudible) for FortiGate 3040B, FortiGate 3140B, and 4950B remain one of our strong, as these high performance appliance product through the several deal for this quarter with large enterprise service provider. One thing I would like to highlight is the six figure win with a large manufacturer in Japan. Following the earthquakes and the tsunami earlier this year they initiated anew disaster recovery project that include building backup data center for one of their key factories. To secure, it's a 10 gig Nava (ph) backbone. They select a FortiGate (inaudible) multi gig appliance based on our unmatched performance capability and we won this deal against the Juniper. As just detailed business wins, high performance (inaudible) remain one of the Fortinet’s biggest differentiator and that’s why a sales drive. We continue innovating and improving in this area and deliver our eighth generation of FortiASIC Content Processor, the CP8 in last quarter. Later this year we will introduce a new FortiGate product which will incorporate a FortiASIC CP8 and (inaudible) the security performance bond. So, in closing, I’m pleased with the second quarter result and I feel confident in our ability to continue to grow and drive security innovation and quality in the market. Now let me turn the call back to Ken Goldman who will give the final outlook for the Q3 and the rest of the year.
Kenneth Goldman: So, yeah, let me go to the guidance and then we’ll open up to Q&A. Relative to third quarter we expect billings to be in the range of $114 million to $118 million, which reflects growth of 22% year-over-year at the midpoint. We expect revenue in the range of a $101 million to $103 million, which is the midpoint is about 20% growth. Gross margin to be consistent around 74%. Non-GAAP operating margin to be in the range of 20% to 21%. Non-GAAP earnings per share expected to be approximately $0.09 to $0.10 per share. This is based on expected diluted share count of $165 million to $167 million. Now, I would also note that we expect FX rates on expenses to have had one time impacts of those EPS, free cash flow of approximately $30 million, and pro forma tax rate of approximately 33% for the quarter and for the balance of the year. In terms of for the full year we expect billings to be in the range of $460 million to $470 million modestly up from our prior guidance. The midpoint represents approximately 24% growth in the year, and this would again result in further market share gains. We expect total revenue to be in the range of $395 million to $410 million, was up from $390 to $400 million previously provided. The midpoint reflects growth of 24% for the year and higher than previously guided annual growth of 22%, gross margin to remain at approximately 74% to 75% and operating margins of around 21% for the year both atop of our target ranges. EPS for the year of approximately $0.36 $0.37 up from approximately $0.35 which is put adjusted in, I guess some rounding there, and based and based on expected way to do the check out of approximately the same of 165 to 167 million shares. And this assumes about a three set impact from FX on expenses. We expect free cash flow to be in the range of a $135 million to $140 million, cash flow per share approximately $0.83, up from $125 million guidance we previously provided. At the midpoint this growth is approximately 38% for the year and all of this is also shown on the slides that we provided. So, in closing, we are pleased with our second quarter performance. Our high level execution defined with momentum in the UTM market continues to drive our strong performance from a revenue, profitability and cash flow perspective. Looking ahead, we are excited about the pipeline of business as we enter the second half of 2011. We remain extremely focused on growing our business globally and that includes EMEA, APAC and we are also confident about reenergizing growth in EMEA. As Ken noticed, we continue to focus on product innovation and we do have some new product introductions expected later this year. So, now, let me turn it over to the operator for your questions. Operator?
Operator: Thank you. (Operator Instructions) First question comes from Philip Rueppel from Wells Fargo Securities.
Philip Rueppel – Wells Fargo Securities: Thanks very much. You mentioned Ken that you have confidence that Europe will bounce back. Can you give us a little more granularity of what some of the issues were, was it widespread, was it particular countries that were perhaps weaker than others or particular products or verticals that – and what does give you the confidence that some of those issues might turn around over the course of the next quarter or two?
Kenneth Goldman: Yeah, I think a few things. Yeah, we did see some weakness – well, first of all I would say there was a little bit – we saw a little malaise in Europe overall. Two is, I think in certain countries that was more pronounced. I think the things we can do in some of those countries will better, and it has to do with in some case how we organize some of the people we have over there, also some of the people we have added as well. And then in terms of my confidence, if you will, our confidence, we look at our forecast for Q3, we look at the momentum we see in the deal flow in terms of Q3, the pipeline and so forth. As we see that see some of the – we did take some actions, if you will, in terms of not let anybody go but sort of reallocating or changing some people around that we feel quite confident that we will see improved results in EMEA. Again, I think we did – again I don’t think it's totally ourselves, but what I’ve heard from some others that EMEA was, there was a little bit of malaise in EMEA, but that’s not an excuse, we think we will do better, we plan to do better given everything we know today in Q3 and Q4.
Ken Xie: This is Ken. Let me also add some point. Traditionally we are more strong in Southern Europe, now we are starting keeping our hands – we are in northern part of Europe. And also, in Europe we also have some plan to go to sort of vertical market compared to we are more to in by country by region as we did in US, like two or three years ago. So US in the last two, three years we have more transitioned into the vertical market focused. We also believe some Europe change may be benefit to more focusing some vertical market.
Kenneth Goldman: Yeah, so I would say, so in summary I think it reflects certainly the environment but also some things I think – in our feeling we can do better in certain of the countries or regions verticals in Europe as well. Nonetheless, we did have some good wins, the revenue growth was good, but we also expect that we will do better in terms of billings going forward.
Philip Rueppel – Wells Fargo Securities: Great, thanks very much.
Operator: Thank you. Our next question comes from Jonathan Ruykhaver from Morgan Keegan.
Jonathan Ruykhaver – Morgan, Keegan & Company: I guess kind of a follow up question to the previous one. Can EMEA lag the growth that you’ve driven in the US and APAC over the last couple of quarters? Can you just talk to why that’s been the case, is it competitive, is it just more difficult process to displace the large incumbents in that geography relative to the Americas and APAC?
Ken Xie: Yeah, Jonathan, I know you follow Fortinet for almost ten years. You know, when we started selling like in 2003, the first few years actually we have each region above one third, and then Europe started more catching up a few years later, then US started growing faster in the last couple of years. Now, we see APAC starting to get strong. The size of economy of APAC also starting pretty close to Europe right now. So we see that APAC strong growing, Fortinet is a world banner, it's a global company and that’s where we kind of – one have the global growth. That’s the strategy we have, have global overall growth and more balanced out. So that’s – I don’t see particular weakening in the Europe it's more how we can chip in each region and continue to grow and balance out.
Kenneth Goldman: I think the only thing I would say is, traditionally we can say that we have somewhat a higher market share in Europe overall than we have in so many other parts of the world, so that – so it’s not as easy to gain market shares than might be say in Americas, so that’s one aspect. The other aspect was the environment, economic environment, and the third is, in some cases I think we think we can do somewhat better than we did. So we are going to take – we are going to put some extra emphasis if you will in terms of doing that.
Jonathan Ruykhaver – Morgan, Keegan & Company: I’m just trying to understand and reconcile. If you look at the macro concerns in Europe I guess nobody knows what’s going to happen going forward. But it sounds like you might have had customers there that just decided to rein in spending because of those concerns. What gives you the confidence that that business actually comes back? I think you kind of suggested it's execution and people related, but if you could explain a little bit more where you get that comfort?
Kenneth Goldman: Well, obviously we have to execute, the proof will be in terms of results for Q3. But I think at least what I would tell you is I look at it in terms of, seeing the business that we have in our pipeline, seeing the confidence our people have relative to going into the quarter and seeing what we believe we can close this quarter and the momentum we’re seeing there. So I think it's sort of the benefit of seeing the internal forecast we have, our expectations, the pipelines we have, and our ability we believe to execute better than we did in Q2.
Jonathan Ruykhaver – Morgan, Keegan & Company: Okay. I guess given that – given what you just said and then looking at the guidance for revenues, you are so many billings growth, those added revenue growth in 3Q, but is there a territory that you expect to be down sequentially from a geographic standpoint given the midpoint of that revenue guidance range is below what you just posted for 2Q?
Kenneth Goldman: I’m not sure I understood your question on revenue. I think in terms of – we’re hopeful that we – if you go back in prior years Americas usually in terms of billings is up a bit in Q3 even though it's seasonally (inaudible) the summer and APAC tends to be flattish. So, Europe tends to be lower in Q3 versus Q2. Yeah, we think we can do a little bit better than that and maybe keep those numbers comparable. We’ll see. So that’s what we are hoping for. In terms of revenues, I think the thing that we do look at is, is the mix of our business. I think as I pointed out earlier we did have a particularly good mix of billings in terms of products this past quarter, that’s sometimes a little hard to gage, and so I just want to be a little cautious there, I don’t want to get ahead of myself in terms of what our guidance could be in Q3 relative to revenues. Because it is somewhat mix dependent of the billings. I mean obviously services gets amortized into the quarter but the amount of revenue we can recognize from billings is predicated and tight to deal with than we do during the quarter.
Jonathan Ruykhaver – Morgan, Keegan & Company: Right. Okay, just one final question. You just alluded to the mix kind of moving back towards the midrange products. The high-end products, if you look at the percentage of total billings, declined from March quarter, can you comment on the dynamic there, does it reflect any slowdown in the telcos vertical?
Kenneth Goldman: No, I think it's always a challenge when you give metrics as you can read too much into one or two points, and I would just tell you in all candid that’s pure noise level when we have one or two points up and down from quarter to quarter. Again, I don’t expect to see big changes in that trend. I think the point we try to make in some of my long prepared remarks, is the reality is there are opportunities from us all the way from entry level SMB and enterprise, and frankly we need to do – we need to grow market share in all three of those “segments.” And so, while we continue to be very, very focused on the enterprise and service provider probably because I think people don’t always give us the credit we deserve in that area, the reality is there're opportunities all up and down in chain in terms of growing market share, and that applies to Americas, applies to Europe or applies to APAC.
Jonathan Ruykhaver – Morgan, Keegan & Company: Okay good enough. Thank you.
Operator: Thank you. Our next question comes from Adam Holt from Morgan Stanley.
Keith Weiss – Morgan Stanley: Keith Weiss on the line for Adam Holt. I wanted to ask you about the large deal environment. After a very good Q1 what we’re seeing like is a disproportionate amount of large deals, you have seen like a little bit tougher large deal environment. Is that something that you saw out there, was it macro related, maybe if you can give us some color into slight step down into the number of large deals you’ve been signing.
Kenneth Goldman: Yeah, at least from what I can tell right know that I do not think there is anything – that we at least read into that. I mean we did have a greater number of deals in the 100 as well as the 250, but not necessarily in the 500 and over. So, I do not think there is anything there that does sort of – that will move around a bit and so at least from what I can tell right now and then talking to our sales folks I do not think there is any real indication there that we are seeing any real change in the market opportunity for us.
Keith Weiss – Morgan Stanley: Got it. And then in just – there were a couple of things you said on the call that speak to the diversions between the growth you are seeing in total revenues versus the growth that you saw on billings. One is obviously the accounting change and stuff being recognized upfront rather than you put on to the balance sheet. You made some mention of deal size or deal lengths shortening of those long term contracts being less prevalent in the quarter. Could you also quantify or maybe sort of breakdown what causes that diversions between the revenue growth rate and the billings growth rate in the quarter.
Kenneth Goldman: Well, yeah, what I tried to do is, again revenue to some extent does lag as you know billings. Billings does include a variety of things, it includes new products, it includes the services that go with those, it includes renewals and then you have the, not the issue, but you have the complexity of doing one, two or three year types of deal as well. So all of that take into account into revenue as well as the point you make relative to we did gain some revenues on a year-over-year basis not quarter-to-quarter relative to going to the new revenue reg rules as of Q1 of this year. But, again, the mix, I mean, the mix in terms of billings and whether the services component of that, renewals component of that and product component, all of that affects what revenues we’ll recognize in the quarter, and so that is all taken into account.
Keith Weiss – Morgan Stanley: Got it.
Ken Xie: Keith, this is Ken, let me add a few points. Also the product growth is also very, very important meaty indicator. Because we have more than half of the revenue come from service, which we have to recognize during the period. But product growth, with 50% product growth is also very, very strong. So what we see is really, a lot of service provider they tend to buy short pan on the service likely more preferred renewal year by year compared to some of the SMB they tend to lock in for multiple years. So that is where we see very, very strong in the product growth, but also on the other side really sometime the patent of the service purchase also change. We do not quite have the solid data yet, but from the product growth we feel pretty comfortable for the long term service growth.
Keith Weiss – Morgan Stanley: Okay, that makes sense. And then just if I can speak on one more. You mentioned some actions around, change of some people around in EMEA. Can you delve a little bit further into that of exactly what types of actions that you took, is there any higher than normal turn in EMEA sales people, were there any just sort of changes on top of sort of the sales leadership in EMEA?
Kenneth Goldman: I will say this way. We wanted to make the accountability a little clearer. So no change in people, it’s just a question of making sure the accountabilities are a little clearer, cleaner and in some cases we have added some folks in certain countries in EMEA as well that we think will contribute to improved performance.
Keith Weiss – Morgan Stanley: Got it. Thank you very much guys.
Operator: Thank you. Our next question comes from Jonathan Ho from William Blair.
Jonathan Ho – William Blair: Good afternoon guys. Can you talk a little bit about your opportunities within the US Federal government vertical and maybe what you are seeing there in terms of an opportunity, I know it’s all pretty small part of your business, but you guys talked about the sort of the certifications. Can you just give us some color on what you see there in terms of UTM adoption?
Ken Xie: Like I said we started building a federal team more based in DC locally with the leadership like Phil Fuster, he is the VP of Federal, joined about one year’s ago. So, but federal deal you only take quite some time and also some time depend on the budget process. Right now, the fed (inaudible) very small, immaterial for us right now, but we do see the potential growing quick and also larger deal there, because the product provision and the function we have is more like a high speed, high quality and/or secure result certification fitting the space well, and also we are a US based company. So with that we do see the good potential going forward, just we somehow got in that space relatively late because the company in early days was more based on the region not based on the vertical market. But we started changing this vertical focused structure about a couple of years ago especially in US and we are seeing very, very good result right now.
Jonathan Ho – William Blair: Got it. And can you talk a little bit about the service provider penetration, just how far are we into this opportunity and some of these are multi-stage rollouts, can you give us maybe a sense of where we stand in terms of probably speaking of your pipeline at that high end market.
Ken Xie: I think still in very, very early stage because a lot of service provider are starting trying to offer – I mean they are in a trial model and they also try to offer the value added security service beyond the broadband internet service. But I have to say what’s the price model, what kind of service they can provide, the value they can add is still more in the early stage. But they do see the benefit of UTM, which one platform they can offer multiple service based on the cost money, so they have the flexibility using the single platform to offer different service. Also like the virtual domain, virtualized service also is welcomed by the service provider. But it’s in very, very early stage, but they do see the huge benefit, it's much better margin and the customer also like the service provider to play more role in a secure clean pipe there. So that’s where we see the huge potential going forward.
Jonathan Ho – William Blair: And if I could just maybe one last one in, I mean in terms of the push out in Europe, you guys talked about some of the deals maybe getting flipped out, can you maybe quantify what that is and what are the fields of clause in the third quarter.
Kenneth Goldman: Yeah, I don’t want to get quite that goony (ph) because I think that could be misleading. So I think I would just rather say what I said relative to optimism relative to Q3, but I do not want to get into specific deals closing and so forth with only a couple of weeks into the quarter.
Jonathan Ho – William Blair: Fair enough. Thank you.
Operator: Thank you. Our next question comes from Walter Pritchard from Citi.
Walter Pritchard – Citi: Hi guys, not to beat the dead horse on the Europe. I guess I just wanted to get a little bit more insight into how – we have gotten used to conservative guidance out of Fortinet. I am just wondering if you could help us understand if you look at Q3 in the year, how conservative your guidance may be and in particular how are you treating large deals in terms of the guidance? It sounds like this quarter may have been a little bit of a surprise, I am just wondering if you are changing sort of how you are forecasting those in the guidance for the quarter and the year?
Kenneth Goldman: Yeah, no I would not say we have really changed our methodology of guidance. I mean, I think, if you look at this past quarter, I think in the case of all the metrics we follow we overachieved except that you would say that we were in line in terms of billings. And so, clearly if like anything else you want to do better than your forecast. So our goal is continue to do better than we guided, I mean that’s our goal. The guidance reflects that any one time our best feel for what we see in terms of the overall environment and market and our ability to execute. So that is how we guide and then we obvious, if we can we want to do the best we possibly can and so that’s where we go into any quarter. But I wouldn’t say that we particularly, I mean, we have not seen any change in the environment that says we should pull in our horns, we should get concerned, we should get nervous that would be the absolutely wrong take away from this call. Our perspective is we are in a growth market, a very good market, we are very well positioned, we have a good new product flow coming out, there is nothing in any of our regions including Europe that concerns us relative to our ability to forward execute. So, we are raring to go relative to Q3 and finishing out this year.
Walter Pritchard – Citi: And then just one follow-up to that, I guess, Ken, the product revenue and I assume product billings was better than we had modeled and you have the -- annuity in services attached was lower on that. I am wondering you did mention less term lengths at more of the deals for one year. I am wondering if beyond term length there was any other dynamic that resulted in less services attached or annuity attached per dollar on product revenue.
Kenneth Goldman: No, I don’t think so. I mean, again, that will vary a little bit from quarter to quarter. But I don’t think there is anything in particular that we would see there in terms of types of deals we do. I mean sometimes deals – we get services after the fact, sometimes we get one year services and sometimes we’ll get three years, pretty much don’t get much beyond that. So, no, I don’t see anything there. My own sense is that that number will sort of go up and down a little bit from quarter-to-quarter and not necessarily be a distinct trend one way or the other.
Walter Pritchard – Citi: Great. Thanks a lot.
Kenneth Goldman: With the one exception which I did say in the long term is try not to use (inaudible) over a number of years and we don’t do that anymore. So that will – so there will be a little less that goes into the services especially because of China which now is under the normal revenue reg rules and not amortized and deferred over, you know, which used to be a lengthy number of years.
Walter Pritchard – Citi: It makes sense, thanks.
Operator: Thank you. Our next question comes from Michael Turits from Raymond James.
James Wesson – Raymond James: Hey guys this is James Wesson sitting in for Michael. First question billings growth in the low 20s is quarter down from the mid 30s last, why the deceleration, is it just the function of weaker Europe or were there other factors?
Kenneth Goldman: Well, I mean if you look at our numbers APAC and the Americas grew quite nicely, it's a plus. So, we had good growth there. Even when we were going in terms of plus, you know, Europe tended to be in the 20 percentish range plus or minus, so again remember what the comment we made earlier is, we do have somewhat higher share in Europe and so the ability to grow on that higher share is not as easy as it is to speak in Americas or Asia PAC. But I mean our billings growth would’ve been certainly higher than what we showed had EMEA been a little bit more like what used to, and as I said before, we are – at least given where I sit today we are hopeful and confident that we will see better growth out of Europe this following quarter.
James Wesson – Raymond James: Okay.
Kenneth Goldman: I mean you really look at it, if you had Europe 15% to 20%, we would’ve back in the thirtyish or so kind of growth there. And that, you know, again, we haven’t changed. That remains our goal. So, it is clearly – we are very, very focused now. Again I don’t give guidance to that range. But our goal has always been consistently to grow at the 30% range approximately.
James Wesson – Raymond James: Got it. Okay. And then, you’re talking about verticals early in the call. Can you describe what the pipeline looks like for the financial services sector in the second half and what you’re seeing in deals?
Kenneth Goldman: Yeah, I don’t know if I have it quite that granular at this particular time and probably don’t want to get quite to that level of detail. So, in terms of pipeline by vertical.
James Wesson – Raymond James: Okay. Just a quick thing on housekeeping, what was the cash tax rate for the quarter and what do you expect it to be for next?
Kenneth Goldman: Well, that’s a good question. I don’t know the tax rate but we continue to – we will have all that in our queue, but it's in the couple three million as I think I’m guessing here that we spend in – it maybe not even a couple of million in taxes. So, we are not helping the governments in terms of paying down the deficit. But it remains very, very low and it's primarily because of the exercises of stock options and the deductions they are on.
James Wesson – Raymond James: And should I be making that similar assumption for next quarter?
Kenneth Goldman: My sense is it will be pretty similar for Q3, yes.
James Wesson – Raymond James: All right. Thank you, Ken.
Operator: Thank you. Our next question comes from Sterling Auty from JPMorgan.
Sterling Auty – JPMorgan: Hi, guys. Just one question. In terms of linearity in the quarter, we’ve been hearing from a lot of people that the quarter was very backend loaded, was that same for you across the board and different geographies or do you think it just was more due to the macro or is this maybe a trend that’s starting to push even more backend loaded than normal.
Kenneth Goldman: No, I actually don’t think we had a backend loaded quarter. As you can see I’m actually very pleased with our DSO at 63 days. So, I don’t really believe our quarter was any fundamentally different in terms of linearity than prior quarters. Again, we feel quite good up and down in our balance sheet anyhow if you were looking at that balance sheet and certainly AR and DSO was good, inventories we made in very, very good control. PP&E net, modest and so, no, I would say no real change.
Sterling Auty – JPMorgan: All right, great. Thank you.
Operator: Thank you. Our next question comes from Shaul Eyal from Oppenheimer & Company.
Shaul Eyal – Oppenheimer & Company: Thank you for taking my question. Good afternoon guys, two quick questions on my end. When you guys don’t win displacement or just contracts up, what’s the reason behind it, is it pricing, is it product related?
Ken Xie: This is Ken Xie, let me try to answer. I think most of the time we don’t win maybe more because we do not quite see some of that deal, because some of the bigger player, especially some bigger networking company they try to leverage their marketing power, they have some other product to bundle all these things together. But when we get in – and always the product, the technology, the performance is the reason the customers join us. I don’t think we are really loosing because they’ll compete much on the pricing. It's really – we believe we have the best value, we have the best performance in the space. That keeps us winning.
Kenneth Goldman: But we’ll continue to work on – this is never ending. So you need to keep on working on features and performance, and so, having the full sample of the features and, yeah, sometimes customers focus on one feature versus another, and so, we will continue to bring that out in our product line.
Shaul Eyal – Oppenheimer & Company: You guys indicated that there is a number of products coming in the second half probably some of them in the third quarter. Could it be that some of your European customers made matters kind of held back a little bit on spending in anticipation for those kind of new products, could it have anything to do with it a little bit.
Kenneth Goldman: No I wouldn’t necessarily suggest that. We tend to have from quarter to quarter, some quarters are a little higher than other quarters in terms of new product intros. But, no, I don’t necessarily think that was the flavor for Europe. And by the way, in Europe, we say Europe, Middle East and Asia, and so one of the areas that I think in particular that we – I think I said this last quarter too is, Middle East is clear an area where instability makes a little bit more challenging.
Shaul Eyal – Oppenheimer & Company: Okay, sure. All right thank you very much.
Operator: Thank you. Our next question comes from Dan Cummins from ThinkEquity.
Dan Cummins – ThinkEquity: Thank you. Could I go back to some things that you referenced before about your success in Europe, traditionally was skewed to southern Europe. As you move sales resources and focus perhaps proportionately north, does that involve doing anything fundamentally different than you’ve done traditionally with respect to the channel, could this perhaps require more investment spending in channel resources or sales resources in northern Europe? Thanks.
Ken Xie: We just want to keep expanding into all the country all the region. And like, right now we have more aggressive hiring in the Northern Europe, and also keeping the hiring spent in the Southern Europe. So that’s pretty much the plan we have.
Dan Cummins – ThinkEquity: Yes, so now, I don’t see it – I mean we are very focused on our ratios. So we feel we can continue to exhibit the kind of margins I showed and it also make investments that we think are necessary in certain areas to grow our business. As Ken said, there are some emerging countries in Europe that we can do better on. There are some – Northern Europe as well, we can do better. So, there are areas that we did well this quarter and some other areas we don’t we could do a little bit better. But from an investment point of view and from a Channel point of view we don’t see any dramatic changes from that perspective, I would say it's more nuance changes than dramatic changes.
Dan Cummins – ThinkEquity: Can I ask just one follow up question in terms of your kind of an internal performance assessments. I guess, does that -- to the extent that you are acknowledging perhaps company specific issues and in addition to the macro environment, does that – just by implication does that also include your channel resources, your channel sales and productivity side.
Kenneth Goldman: Yeah I don’t know – I mean it’s like – I think my comment really is more generic in that I think we definitely feel we could and can do better in our growth in Europe and we are focused on that. And again, I do not see any dramatic changes. I think this may be a sort of a nuance in terms of focus in certain areas and then perform a little bit better. So I do not see any nuance around the channel. I mean every quarter we look at different players, we do from time to time make some changes. And so, there is nothing dramatic though that I am suggesting here.
Dan Cummins – ThinkEquity: Okay. Thank you.
Operator: Thank you. Our next question comes from Rohit Chopra from Wedbush Securities.
Rohit Chopra – Wedbush Securities: Couple of questions. One, I want to go back to Jonathan’s question, because I didn’t hear the answer. But I wanted to get an understanding of the competitive environment. We picked up a couple of companies who were discounting extremely heavily especially in Europe towards the end of the quarter. Did that have an impact on your ability to close deals in your analysis?
Kenneth Goldman: No, I wouldn’t say that it had. If it had any impact I surely didn’t see it. So, no, I don’t – discounting and pricing and so forth and wins and losses, again, I don’t see that as having – assuming I didn’t see it, it having any impact, I really don’t. I think again our ability was – some deals might get pushed out as opposed to losing it from pricing. So, no, I don’t the competitive situation has changed in Europe either or other areas of the world. So, I would not say it's that issue either. Again, I think it is in our ability to close deals in the timeframe we expect to close deals.
Rohit Chopra – Wedbush Securities: Okay. And then I’m just going to stay on the European that everybody else seems to want to know what’s going on. So, governments in Europe, were you able to determine if they were a greater contributor to any of the decadence or the slow down.
Kenneth Goldman: I don’t know that. I don’t have any detail there. So, it certainly wasn’t discussed very much internally. So I do not think that – I would not characterize that as indicative of any real trend, no, that I know of anyway.
Rohit Chopra – Wedbush Securities: Thanks guys.
Operator: Thank you. Our next question from Rob Owens from Pacific Crest.
Rob Owens – Pacific Crest: Thank you very much. Just a couple of quick questions. You mentioned how you are operating margin guidance was handling the long term target. At what point do you either change the target or increase your spent to get there. And at what level of revenue does the model yield margins within the target? Is it the midpoint?
Kenneth Goldman: Well, yeah, the second was really the same as the first really if I think about it. And I think we will – as we look to the end of this year and thinking about our forward plans for next several years we will take another look at our long term margins. Clearly we are doing better. I think the ability to invest is consistent with the guidance we gave, and so, we don’t want to go backwards really. Clearly, others in our space also are making very good margins. So we see opportunity to continue to do well. I don’t want to give a number yet, because we haven’t put it together. But, we will take another look at what today – we set the model up a couple of years ago that we felt that was sort of our intermediate model. We have already over achieved that and we will take a look at going forward to what we can do beyond that hopefully when we put our numbers together.
Rob Owens – Pacific Crest: Okay, great. And as you look ahead to Q3, and specifically in the year ago period, is there a tough federal compare in the September ’10 quarter?
Kenneth Goldman: I don’t remember any – we had a very good Q3 last year. You are right about that. I don’t recall I don’t have it front of me here, a very tough – some people looking at numbers. So now the question is, the comment is, no, we do not have a tough federal compare Q3 versus Q3 of last year.
Rob Owens – Pacific Crest: Okay, great, thanks again.
Kenneth Goldman: But we did have a good margin last year and we did – some of them last year over achieve some of our revenues and we did actually end up under spending.
Rob Owens – Pacific Crest: Great, thank you.
Kenneth Goldman: Can I add one more thing? I think last year we were also helped by currencies. So, last year I think the dollar happened to be a little stronger and that helped us from the currency and expenses point of view and, yeah, that’s been the opposite effect this year.
Operator: Thank you. And our next question comes from Norman Heimlich from Dundee Securities.
Norman Heimlich – Dundee Securities: How much of your business is coming from the third world, Asia, Brazil, and the faster growing areas, and that is number one. And number two, just in case you didn’t know, but the stock is down over 20%, I mean after the market.
Kenneth Goldman: Yeah, I knew we weren’t doing – people were sort of, in my opinion, sort of over – taking too much into an issue relative to billings and so be it. But, again, I think that – surely that’s an issue that we will have – the only way you can dispel that is to perform. And so, we know in Q3 and Q4 we have to perform there. So I totally understand that. Relative to the emerging area, we do not have that specifically broken out in terms of Brazil. We do know whether you are talking about Eastern Europe, some of the Asian countries, as well as Brazil and so forth, there is India whatever, there are opportunities to – we are very focused on that. Let me say it that way, and we do think we can grow even faster there as we invest.
Norman Heimlich – Dundee Securities: What would it cost to invest?
Kenneth Goldman: You know, I am not going to specifically take it – our investments are up, predicate – are all inclusive if you will in terms of the guidance I provided.
Norman Heimlich – Dundee Securities: Okay, thank you.
Operator: Thank you. I’m showing no further questions at this time.
Kenneth Goldman: Okay. So, let me stop there. Just remind you that we do have another call at 3:30 Pacific Time for a purely Q&A. I will not have any prepared remarks for that call, but purely for Q&A to go through any questions you may have, any additional questions you may have on business model or details except that we haven’t answered them relative to the results for this quarter. So I look forward to that call and any other questions that you may have and thank you for listening to this call.
Operator: Ladies and gentleman thank you for participating in today’s conference. This concludes our program for today. You may all disconnect and have a wonderful day.